Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gamida Cell's Conference Call for the Fourth Quarter and Full Year 2021 Financial Results. My name is Howard and I'll be your operator for today's call. Please be advised that this call is being recorded at Gamida Cell's request. Now, I would like to introduce your host for today's conference, Heather DiVecchia, Gamida Cell's Chief of Staff. Please go ahead.
Heather DiVecchia: Thank you, Howard, and good morning, everyone. Welcome to today's call, during which we will provide an update on the company and review our financial results for the fourth quarter and full year of 2021. Earlier this morning, we issued a press release summarizing our financial results and progress across the company, which is available on our website at website at www.gamidacell.com. Here with me on our call today are Julian Adams, Chief Executive Officer; Ronit Simantov, our Chief Medical Officer and Chief Scientific Officer; Michele Korfin, our Chief Operating Officer and Chief Commercial Officer; and Shai Lankry, Chief Financial Officer. During this call, we may make forward-looking statements about our future expectations and plans, including in respect to the timing of initiation and progress of, and data reported from the clinical trials of our product candidates, anticipated regulatory filings, including the submission of the BLA for Omidubicel to the FDA, commercialization planning efforts, the potentially life-saving or curative therapeutic, and commercial potential of Omidubicel, and our expectations regarding our projected cash to be used for operating activities and cash runway. Our actual results may differ materially from what we project today due to a number of important factors, including the impact of COVID-19 pandemic on our operations, the scope, progress and expansion of our clinical trials and cost impact thereof, clinical, scientific, regulatory and technical developments, and those inherent in the process of developing and commercializing product candidates that are safe and effective for use as human therapeutics, and the endeavor of building a business around such product candidates, as well as those considerations described in the Risk Factors section of our most recent annual report on Form 20-F and other filings that we make -- and other filings that we make with the SEC from time to time. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information, fewer future events or otherwise. Now, I'd like to turn the call over to Julian.
Julian Adams: Thank you, Heather, and thanks to everyone for joining us this morning. Before I begin, I want to take a moment to acknowledge the major events in the Ukraine, that are impacting the world globally over the past few weeks. While we don't have any operations in the Ukraine or Russia and expect minimal impact to our operations, as global citizens, our thoughts are with all those affected. At Gamida Cell, we are incredibly proud to be part of the significant advancements occurring in the field of cell therapy. As it continues to grow and progress -- progress toward cures for patients in need. 2021 was an important year for us as we progressed our two clinical stage NAM-enabled cell therapy programs, Omidubicel and GDA-201. Both of which hold significant potential to benefit patients suffering from hematologic malignancies and serious blood disorders. Additionally, we further expanded our NAM-enabled platforms with the addition of genetically modified NAM-enabled NK cell constructs, allowing us to leverage our expertise in NK cells to potentially treat various hematologic malignancies and solid tumors. I will start today's call by commenting on our lead program, Omidubicel, which has breakthrough therapy designation and the potential to be the first FDA-approved cell therapy for stem cell transplant. Throughout 2021, we announced several data presentations which contribute to the evidence for Omidubicel's potential efficacy, and also the positive health economic impact of Omidubicel, with data demonstrating a reduction in healthcare resource utilization. As Ronit will describe later on in this call, this reduction in healthcare resource utilization is very important for patients, hospitals, and payers. The robust data that we have generated in support of the potential for Omidubicel led us to our most recent and exciting milestone last month, namely the initiation of the rolling BLA for Omidubicel. With the submission of our non-clinical module following the receipt -- the recent receipt of positive CMC focused Type B meeting correspondence from the FDA. In this correspondence, the FDA confirmed analytical comparability between our wholly owned commercial manufacturing facility in Israel to the Omidubicel batches that were produced at the clinical manufacturing sites for the Phase three study. This month, we also submitted our clinical module to the FDA. We are on track to submit the remaining modules and the complete -- and complete the full BLA submission by the end of the second quarter. We are thrilled to have reached this inflection point and look forward to working with the FDA to bring Omidubicel to patients as soon as possible. Beyond on Omidubicel, we are also developing our NAM-enabled NK pipeline, which is led by GDA-201. GDA-201 leverages our proprietary NAM technology platform to expand natural killer cells to enhance their functionality, direct tumor cell killing properties, an antibody-dependent cellular cytotoxicity or ADCC. We are highly encouraged by the potential of GDA-201, which has produced truly remarkable results in a phase one investigator sponsored study, where we have seen very high and complete durable responses in both follicular lymphoma and diffuse large B-cell lymphoma. In September 2021, we submitted an IND application to the FDA for a phase one two trial with a cryopreserved formulation of GDA-201 in patients with diffuse large B-cell lymphoma and follicular lymphoma. Following this submission, we were placed on clinical hold in November of 21, prior to patients being dose since the FDA had questions about donor eligibility procedures and assay qualification. We are actively working with the FDA to address their comments to enable an IND acceptance and study initiation. This year, we plan to initiate dosing in this phase one/two study. Moving to our newest product candidates, a genetically modified NAM NK enabled cell therapy programs. Last year, we were excited to establish a broad pipeline of NK product candidates that utilize CAR and CRISPR mediated strategies to increase targeting potency and persistence against hematologic malignancies and solid tumors. Robust preclinical evidence gives us the confidence that these new NAM-enabled NK product candidates hold promise as potentially curative therapies for both hematologic cancers and solid tumors. Furthermore, we announced a research collaboration with the Dana-Farber Cancer Institute for GDA-601, a CD38 CRISPR knockout combined with a CD38 CAR NK cell construct that has demonstrated promising preclinical results against multiple myeloma cell lines. We are excited to leverage the expertise of researchers at Dana-Farber to study the in vitro NK cell killing activity of GDA-601 in multiple myeloma. Throughout 2022, we plan to execute preclinical proof of concept studies for these genetically modified NK therapeutic targets, and by the end of 2022, select a pipeline candidate for IND enabling studies. With the progress we achieved in 2021, we are encouraged about what the future holds for Gamida Cell in '22. And of course, this wouldn't be possible without our employees, whose dedication is focused on advancing therapies to help address unmet needs for patients. I am grateful for and proud of their continued determination and focus on patients, which has brought us to where we are today. Before turning the call over to Ronit, I would like to take a moment to congratulate her on her recent promotion. Now, assuming the role of not only chief medical -- medical officer but also chief scientific officer, we at Gamida thank you all for your contributions thus far, and look forward to your continued work toward the vision with your expanded role. Ronit?
Ronit Simantov: Thanks, Julian, and good morning, everyone. Thank you for joining us on our call. In 2021, we had the opportunity to present a broad range of scientific and clinical data on Omidubicel. Tying together, free clinical and translational analyzes with clinical data, patient experience, long-term outcomes, and value to the healthcare system. In pre-clinical presentations in 2021, we demonstrated that our nicotinamide or NAM platform, generates a unique cellular phenotype through modulation of metabolic pathways leading to highly functional and potent stem cells. In translational data, we showed that patients treated with Omidubicel had robust functional reconstitution of T and B cell subsets, dendritic cells and natural killer cells in the days and weeks following transplant. The translational data provided mechanistic support for the clinical results of our global phase three randomized trial. The results of which were published in October 2021, demonstrating rapid somatic poetic recovery, significantly decreased infections and shorter duration of hospitalization for patients transplanted with Omidubicel. Of note, the patients in our clinical trial were in critical need of allogeneic transplant for hematologic malignancies, with few or no alternatives available. Looking back at the totality of our experience with Omidubicel, we presented follow-up data from over 10 years of clinical studies demonstrating long-term sustainable [Inaudible] and immune competence in patients. We then went on to show that Omidubicel could decrease the cost to the healthcare system, as patients treated with Omidubicel had reduced healthcare resource utilization, including blood transfusions, outpatient procedures, and time in intensive care units. At next month's transplantation and cellular therapy meetings in Salt Lake City, we have eight abstracts accepted and planned to report new data focused on patient outcomes and health related quality of life. Taken together, we have continued to add to the body of evidence supporting the mechanism of action, clinical activity, patient experience, and value of Omidubicel as a potential life-saving therapy. Moreover, we are confident in the scientific and clinical package we have assembled, and our efforts to make Omidubicel available to patients in need of a hematopoietic stem cell transplant. We also made considerable progress in our NAM-based natural killer cell platform. We presented preclinical data characterizing the properties in GDA-201. We showed that NAM mediates set of cellular processes, expanding NK cells while down regulating differentiation, cellular stress, and exhaustion pathways that are typically activated in culture. GDA-201 cells are characterized by a rejuvenated NK phenotype similar to cytokine induced memory like NK cells, and were shown to be highly cytotoxic in in vitro and in vivo assays. These findings were supported by the clinical data reported in the phase one investigator sponsored study at the University of Minnesota. At ASH, we presented two year follow-up data in patients with non-Hodgkin lymphoma, showing an overall response rate of 74%, including 13 out of 14 complete responses with a median duration of response of 16 months. 78% overall survival and toxicities in line with those reported previously for GDA-201. We've now developed a cryopreserved formulation and plan to initiate a multi-center company sponsored study this year in patients with follicular lymphoma and diffuse large B-cell lymphoma. In addition, we reported that we have expanded upon our NAM platform to develop genetically modified NK cells, GDA-301, GDA-501 and GDA-601, each of which is proceeding with preclinical proof of concept studies as we advance toward IND enabling studies. Overall, 2021 was a tremendously productive year in research and development and clinical research. We look toward continuing to validate the therapeutic potential of our product candidates. I will now turn the call over to Michele, who will talk more about our launch readiness for Omidubicel. Michele?
Michele Korfin: Thank you, Ronit, and good morning, everyone. This year has started off strong already, as last month we initiated our rolling BLA submission for Omidubicel. We continue to make excellent progress advancing our Gamida owned manufacturing facility in Israel. The FDA acknowledgment of the analytical comparability from our planned Gamida commercial facility as compared to the facility used for the phase three study was an important milestone as we work toward advancing Omidubicel. The commercial opportunity for Omidubicel is extremely encouraging. Based on our continued assessment of market insights, and we continue to focus on our commercial preparation. In parallel with our rolling BLA submission, we are additionally assessing strategic alternatives for the potential commercialization of Omidubicel, including potentially partnerships to expand the reach of Omidubicel. Omidubicel has the potential to be the first FDA-approved advanced cell therapy product for allogeneic stem cell transplant in patients with hematology -- hematologic malignancies. For patients with hematologic malignancies that are deemed eligible for an allergenic stem cell transplant, the procedure is their best chance for a potential cure. In the U.S., there are approximately 8,000 patients above the age of 12, with hematologic malignancies who undergo an allergenic stem cell transplant each year. Unfortunately, though, there are approximately 1,200 patients each year who are also aged 12 and up with hematologic malignancies who are deemed eligible for an allergenic stem cell transplant but cannot find an appropriate donor. Unfortunately, we observe racial disparity in the U.S. in regards to access to allogeneic stem cell transplants. Few are non-caucasian and do not have access to a family member donor, we have a very low likelihood of finding a match in the public database. For example, patients who are African-American may only have about a 20% chance of finding a match. For patients in need of a stem cell transplant, this is often their only chance for a cure. We are diligently working to advance Omidubicel and to expand access to patients. Based on encouraging clinical data and the less stringent matching criteria, transplanters feedback indicates that Omidubicel has the potential to improve outcomes for allogeneic stem cell transplant patients compared to other donor sources, and expand access for patients who cannot find a suitable donor. In the U.S., there are approximately 200 transplant centers that perform allogeneic stem cell transplants. 70 of those centers conduct about 80% of the transplants, and our medical team continues to engage with those top 70 centers through one on one meetings and at medical conferences. We also continue to assess market insights from transplanters in the U.S. Based on extensive market research. We see the potential for Omidubicel to treat approximately 2,000 to 2,500 patients per year upon reaching peak market share. This equates to approximately 20% to 25% market share of the addressable population. Our market access team is also actively engaging in meetings with national and regional commercial payers, and the feedback continues to be very encouraging. Payers recognize the overall value proposition, including the strength of the Omidubicel clinical data and the health economic data we have published to date. In summary, we are excited by the potential of Omidubicel to be the first FDA-approved cell therapy for allogeneic stem cell transplant. And we are also encouraged by the clinical data and feedback from physicians and payers. I will now turn the call over to Shai, to review our financial results.
Shai Lankry: Thank you, Michele, and good morning, everyone. Today, I will summarize our financial results for the full year of 2021. As of December 31, 2021, our total cash position was approximately $96 million, compared to $127.2 million at December 31st of last year. Research and development expenses for the year were $50.2 million, compared to $38.9 million for the same period in 2020. The increase was primarily due to a $5.4 million increase in Omidubicel commercial manufacturing readiness activities and the advancements of our NK programs, as well as an increase of $5.9 million in broadening our scientific capabilities and talent. Commercial expenses in 2021 were $20 million, compared to $8.9 million in 2020. The increase was mainly due to a $6.5 million increase in commercial readiness expenses and $4.6 million increase in headcount within our commercial organization. Going forward, we anticipate reducing our near-term commercial readiness expenses as we are assessing alternative for the commercialization of Omidubicel including potential U.S. or global partnership. General administrative expenses rose $17 million in 2021, compared to $13.2 million in 2020. The increase was mainly due to a $2.6 million increase in professional services expenses, and a $1.2 million increase in headcount and related expenses. Finance expenses net were $2.6 million in 2021, compared to $0.6 million in 2020. The increase was primarily due to a $4.4 million interest expenses in our convertible notes offset by a $2.1 million capitalization and other non-cash income and $0.2 million increase in interest income from cash management. Net loss in 2021 was $89.8 million compared to a net loss of $61.6 million in 2020. We continue to expect cash use for ongoing operating activity this year to range from $60 million to $70 million. We anticipate the recurring total cash position will support our ongoing operating activities into mid-2023. This cash one way guidance is based on our current operational plan and excludes any additional funding that may be received or business development activities that may be undertaken. I will now turn the call back over to Julian.
Julian Adams: Thank you, Shai. As we look ahead into what we have set out to accomplish in this year, 2022. I believe we are well-positioned to deliver on our mission of developing potentially curative cell therapies for patients with blood cancers, solid tumors, and other serious blood disorders. We look toward our full BLA submission for Omidubicel, expected in the second quarter of this year. And the planned initiation of our phase one/two multi-center Gamida's cell sponsored study for GDA-201 and non-Hodgkin lymphoma. We are excited for the opportunity to continue leveraging our unique NAM-enabled platform across a broad range of cell therapies. And I look forward to providing updates throughout the year. Now, we will open the call for questions. Operator?
Operator: [Operator Instructions] Our first question or comment comes from the line of Jonathan Miller from Evercore ISI. Your line is open.
Jonathan Miller: Hey, guys. Thanks for taking my questions. First, maybe on GDA-201. It feels like the language here seems a little bit similar to last update. And I just wondered if you had any additional color on your recent interactions with the agency, and what your current thoughts are and ability to get that IND [ph]? And then maybe secondly, I'm happy to see the runway guidance reinstated, but just wanted to get some clarity. How much commercial prep is included in the current runway guidance -- and maybe how much clinical work for GDA-201 is included in that guidance?
Julian Adams: So let me begin by addressing the first part of your question. We haven't had any direct communication with the FDA. The FDA provided absolute clarity on what issues we needed to resolve. Most of those issues are resolved and we are getting ready to resubmit the amendment to the IND, and we'll be announcing when the IND is accepted. Regarding runway guidance, let me turn it over to Michele and Shai to talk about launch readiness and use of cash forge support of GDA-201. Michele?
Michele Korfin: Thank you, Julian, and good morning, Jonathan. So Jonathan, I'll start and then I'll turn to Shai for the additional financials. So in regards to runway guidance, so for 2021, we were able to complete a lot of the key milestones for commercial preparation that led to the increase that Shai discussed for OpEx. So some of those included, the market insights such as quantitative assessments from transplanters and feedback from payers. In addition of very, very important milestone for us in 2021, was the readiness of Gamida Cell Assist, although Gamida Cell sits within the commercial organization. It plays a critical role in starting the chain of identity and monitoring the chain of identity and chain of custody. Although Omidubicel has less stringent requirement, it is still an individualized therapy and hence we need to demonstrate chain of identity chain of custody. That key work for Gamida Cell Assist, including building the team, developing the processes, and establishing the IT infrastructure was all completed in 2021. So what that allowed us to do in 2022 as we are assessing our strategic alternatives or potential strategic alternatives for launch. It allowed us to decrease the spend in regards to some of the commercial preparation because of the fact that so much had been done in '21. So let me turn to Shai to give us the actual financial details. And then Jonathan, we'll see if you have any follow-up questions.
Shai Lankry: Thank you, Michele. So, Jonathan, for your question, I would divide the answer into two. As Michele [indiscernible] for the commercial. We did an internal robust process of prioritization our expense in 2022 in order to meet the cash one way guidance. And I can tell you that all the critical activity will continue to be advanced. And in addition, as we mentioned in -- in the previous comments, we did reduce some of the spending, which are less critical for the next few months. As for the R&D GDA-201 in particular, I can assure you that we continue to advance the GDA-201, and we did -- as part of that -- as part of the prioritization, we didn't reduce any of the GDA-201. We continue to advance this program, including the potential initiation of trials later this year and first patient in. 
Jonathan Miller: Thanks so much, guys.
Julian Adams: Thank you, Jon.
Operator: Thank you. Our next question or comment comes from the line of Ted Tenthoff from Piper Sandler. Your line is open.
Ted Tenthoff: Great. Thank you very much, and good morning, everybody. So I want to dig in a little bit more to the considerations with respect to what we do best on marketing. To me, it seems like the greatest value would be retained if this is a therapy that you take to market yourself. But can you give it a little bit more just in terms of how you're assessing this? Could this be overseas deal where you keep the U.S.? Could this be a global deal? Give us maybe a sense for how and what kinds of options you're considering. Thanks. 
Julian Adams: So, Ted, thank you for your question and good morning. As was mentioned in the script, we're assessing our strategic alternatives for Omidubicel, and that's driven by our desire to see as many patients as possible, gain access to Omidubicel. So we are discussing regional deals, potential regional deals, as well as potentially U.S. deals with partners that may have a unique interest in the hematology-oncology franchise and that pairs up with their portfolio, and already has significant infrastructure to be able to deliver on Omidubicel to as many patients as possible. Our involvement will always be very intimate, because we are the manufacturer and as you know in cell therapies, the manufacturing facilities is critical to supporting any kind of commercial product. So we haven't made any choices yet. And we're starting and certainly once the BLA is fully filed and accepted, that will open up avenues for conversations with interested parties.
Ted Tenthoff: Yes. Very helpful, truly. And I appreciate that additional color.
Julian Adams: My pleasure.
Operator: Thank you. Our next question or comment comes from the line of Jason Butler from JMP Securities. Your line is open.
Jason Butler: Hi, thanks for taking the question. Just another on Omidubicel. Can you just talk about plans for additional data presentations this year, including from the open label extension to extended -- expanded access program? Thank you.
Julian Adams: So thank you, Jason, for your question. Ronit mentioned during the prepared remarks, that we have eight abstract TCT, but maybe Ronit, you could perhaps highlight other venues where we might present the maturing dataset for Omidubicel.
Ronit Simantov: Absolutely, and thank you, Jason, for your question. So a TCT, as I mentioned, we'll be focusing on long-term follow up information, as well as patient reported outcomes, health related quality of life, additional immune reconstitution data and some preclinical data as well, and some information on the value and cost of care. In terms of the expanded access program, we are continuing to recruit patients for the expanded access program have not made a definitive decision about what the appropriate time would be to present that growing cohort of patients. But when there is a, I think, critical amount of information that's worth presenting, we certainly will do that either by the end of the year at a hematological meeting or maybe next year at the transplant meeting.
Jason Butler: Great. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Gil Blum from Needham & Company. Your line is open.
Gil Blum: Good morning, everyone, and thanks for taking our questions. So this one's for Michele. From your discussions with physicians, what feedback are you been getting regarding their interest in an FDA-approved transplant versus what they've been doing to date? The focus here being whether they have an opinion on something that is FDA-approved and the feedback that you've heard so far.
Michele Korfin: Thank you, Gil, and good morning. We -- we've done a lot of work speaking to physicians and what -- what is encouraging for them about Omidubicel, which falls into the category of an FDA-approved therapy is the following. So, the first off, Omidubicel will take on the responsibility around chain of identity and chain of custody from the time of the patient selection from Omidubicel all the way through the return of the therapy to the center. So that's an important responsibility, and that's something that comes with being an FDA-approved therapy. The other aspect is around the Omidubicel itself. So the NAM technology allows us to not only expand but enhance the cells. And some of the challenges associated with using other donor sources is to have an adequate number of cells. Does the donor potentially have some co-morbidities that could potentially be affecting the donor ability? So the fact with Omidubicel that we will be an FDA regulated therapy with sort of a defined threshold around release criteria, that that is viewed as a positive. I will say consistently the feedback we hear from U.S. transplant ERS is that when they see the Omidubicel clinical data, they see Omidubicel opportunity for their patients falling into two key categories. The first from the physician's perpection -- perspective, is the ability to improve outcomes as compared to donor sources that they're currently using. And then the second that very critical one of those patients who were deemed eligible for transplant but can't find a match, they see a very important opportunity for Omidubicel, given the fact we have a less stringent matching criteria, we demonstrated in our clinical study we had approximately 40% of patients that were non-caucasian in our clinical study. So those two key opportunities really do resonate consistently when we speak to physicians.
Julian Adams: And if I may add, Michele. There's no question that having a quality assured product with specifications and an FDA label clearly gives us the opportunity to engage with physicians and educate, and over time, this is an exercise in behavioral economics, if you will. If physicians find patients that are suitable for Omidubicel and have a good experience that will go a long way to encouraging them to continue to prescribe Omidubicel. So we think that an FDA label for the first ever sponsored randomized phase three study is a significant game changer for the field of -- hematopoietic stem cell transplant.
Gil Blum: All right. Thank you, Michele, and thank you, Julian, for taking our question.
Michele Korfin: Thank you, Gil.
Julian Adams: Thank you, Gil.
Operator: [Operator Instructions] Our next question or comment comes from the line of Matthew Cross from Alliance Global. Your line is open.
Matthew Cross: Hi, good morning, and thanks for taking a couple of questions for me. Both on the NK cell side. One, I wanted to ask regarding the cryopreservation status for GDA-201. I know you'd previously tested Omidubicel as both a cryopreserved and non-cryopreserved product. Since you're finalizing these -- these IND requirements with the FDA for 201, I was just hoping to get a recap on the clinical supply chain for that asset in terms of cold chain and what's required for that product in particular, given continuing supply issues at a broad level.
Julian Adams: So, let me take that on. The team has worked very diligently through 2021 to perfect and optimize the cryopreservation. We now have product and stability with many months of stability, maintain that liquid nitrogen. So the goal of this is to have an off the shelf product to enable a multi-center phase one/two study, and be able to recruit patients with a -- single treatment with GDA-201. So all of those activities have been attended to, and we're just finalizing the amendment to the IND to resubmit to the FDA and begin the clinical study in 2022.
Matthew Cross: Got it, okay. Thanks, Julian, appreciate the confirmation there. And then you had stated that you're looking to select a candidate for IND enabling studies this year out of genetically modified NK cell program. But just wanted to confirm whether I'm taking that statement overly, literally. Are you looking at advancing one of these four programs to IND [ph] this year and kind of tabling the rest for a bit? Or all of these making progress, and maybe just one will become a frontrunner during the year? Thanks.
Julian Adams: So, Matt, thank you for your very important question. So right now, we have three candidates that are progressing. It's all data driven, and my comments about GDA-601 further allowed us to expand our collaboration with Dana-Farber to look at multiple myeloma cell lines, as well as fresh patient isolates, who are patients who have been heavily pretreated. So the idea is progress all three, but select one candidate for IND enabling studies, and then subsequently continue to make progress on the other candidates. Again, it'll all be data driven, and we'll select the candidate with the most compelling data going forward.
Matthew Cross: Great. Okay, thanks for the clarification there as well. I appreciate all the answers.
Operator: Thank you. I'm showing no additional in the queue -- additional questions in the queue at this time. I'd like to turn the conference back over to Julian Adams for any closing remarks.
Julian Adams: Thank you, operator, and thank you everyone for joining us on today's call. We look forward to engaging with you and have a good day everyone, and see you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.